Operator: Good morning and good afternoon ladies and gentlemen. Welcome to Sasol Interim Financial Results Conference Call. Today's call will be hosted by David Constable, Chief Executive Officer, and Christine Ramon, Chief financial Officer. Following their formal presentation by Sasol management, an interactive Q&A session will be available. A copy of today's slide presentation is available on www.sasol.com. I'd now like to hand the call over to David Constable. Please go ahead sir.
David Edward Constable: Thanks very much, Christine. Good morning, good afternoon and good evening everyone thanks for joining us on the conference call today. Joining on the call from Sasol are Christine Ramon our CFO, Lean Strauss, our Senior Group Executive for International Energy, Technology and New Businesses; Andre De Ruyter, Senior Group Executive for Global Chemicals and North American Operations. Bernard Klingenberg, Group Executive for South African Energy; Nolitha Fakude, Executive Director Sustainable and Transformation; and Riaan Rademan is the Group Executive, Mining and Business Enablement. Today we announced the solid and stable financial performance given our South African and international contacts this is no small task, our results are testament to our ability to continue to be resilient in challenging times. Notwithstanding global economic uncertainties subsequent stability and commodity market volatility we continue to deliver for our shareholders well across our growth projects in a measured and responsible fashion. Turning to Slide 4 of the presentation, which is in front of you let me start with an overview of why you are here today. So I’ll begin by providing with some context to support our resilient we are now within the challenging global environment at the past four and half years. We'll then spend some time highlighting the key milestones we've achieved during the first half of the 2013 financial year. Christine will go into more detail on the strong financial and operational performance of our businesses and then some of the advancements we've made on our growth projects in particular. I'll highlight how we are approaching investment decisions on the strategic projects in the U.S. We'll wrap up the presentation by summarizing by Sasol remains an extremely compelling investment position and open it up to those on the call to ask us any questions you may have. Let's turn to Slide 5. As said, 2009 three key factors have been influencing the nature and expected the investment decisions taking by corporate worldwide. Number one, persisting global economic crisis; two, international subsequent stability; and number three, commodity market volatility. These factors have also had a chilling effect on economic growth, impacting, in large part, both the private and public sectors. Despite significant global challenges, Sasol remains resilient, as can be seen from the attributable earnings graph shown here. The graph reflects our earnings for the past 13 years. Over this period, we remained a strong performer with our earnings trending favorably upward. In 2008, we had one of our best earnings years followed by a sharp dip in 2009 at the start of the global recession. Notwithstanding this setback, we bounced back in 2010 and have continued our upward trajectory. And slide 6, self explanatory, I will not talk to the slide. Next slide 7, reflects the positive contributions. We continue to make on a number of fields in South Africa and abroad. I will not talk to the specifics listed here. But let me just briefly talk to one. As we know all too well, South Africa has been rocked by social and labour unrest. The events of the past eight months have not only impacted business operations, primarily in the mining, transport and agricultural sectors, but also the country as a whole. At Sasol, we have been proactively addressing many of the socio-economic challenges faced by our workforce, our unions and the communities in which we live and work. Our efforts in this area began well before the Marikana tragedy and long insights on operations. We’ll finally highlight some of our contribution, depiction, skills enhancement, community upliftment and enterprise development in the first half of FY13. And finally, these proactive efforts have effectively checked as part of the strategy thereby allowing us to significantly run our operations reliably. Moving on to slide 8, key milestones in South Africa in the first half. Let me just talk about the last point in the slide, specifically our electricity generation at Sasolburg, our R1.9 billion gas-fired power generation plant that’s producing 140 megawatts of power. The plant was commissioned last December. Traditionally, natural gas-powered plants are quicker to build taking between 20 to 30 months. Our Sasolburg Plant took only 16 months from starting construction to full commissioning, a resounding success, which was made possible by the collective efforts of so many, including the Department of Energy, our contractors and our New Energy team. As a result of this and other projects, we are now able to self-generate up to 67% of our electricity requirements in South Africa and as a result, we’ve reduced our carbon footprint dramatically. Natural gas plants are more efficient, they require less fuel input and the same amount of electricity generated and they are less carbon intensive. Equally important, our self-generating power supply strategy makes us much less vulnerable to rising energy costs. Next, moving just down to Slide 9 and what we delivered in terms of our global projects in the first half of this financial year. You remember on December 3, which is the same day of our last conference call at our facility in Lake Charles, Louisiana, we announced that we’ll proceed with the front-end engineering and design phases for our strategic projects in the United States, a world-scale ethane cracker and derivatives plant and an integrated gas-to-liquids and chemicals facility. Our integrated project management team in the U.S. will ensure that we adequately manage and suitably mitigate potential project execution risks. Well before taking our final investment decisions, the team will advise on the sequencing of the projects, so that we can meet up gearing targets and our progressive dividend policy guidelines. Turning to Uzbekistan, the FEED work for our GTL project is progressing according to schedule. The FEED phase is expected to be completed during the second half of this calendar year. Finally, in Mozambique, and building on the success of our Sasolburg Power Plant, our New Energy business is developing a 140 megawatt gas-fired electricity generation plant in partnership with the country’s state-owned power utility EDM. The final investment decision was taken at the end of last year. Site work is underway in Ressano Garcia, and the project is well on track to be commissioned by mid-2014. Turning to our operations highlights on slide 10; the Sasol team delivered a solid operational performance. The ORYX GTL plant continues to achieve new production records. For the first half of the year, the average production was, once again, above 90% of design capacity. At Synfuels, decisive management action and improved plant efficiencies have resulted in a production performance of 3.7 million tons for the half year, this, notwithstanding a MAJOR phased shutdown last September. In Iran, Arya Polymers achieved a utilization rate of 84% despite a very challenging business and operating environment. Most importantly, safety remains a strategic imperative for us. We have, by and large, seen marked improvements and ended the half year with a recordable case rate, excluding illnesses, of 0.32. This was the lowest level achieved in the company’s 63 year history, and includes an outstanding RCR of zero delivered by ORYX GTL in Qatar. Before I hand it over to Christine, let me move on to slide 11 and set the scene for her by summarizing our financial performance for the half year. Noteworthy was the Sasol Synfuels’ production was up 10% compared to the prior period. Excluding once-offs, our operating profit was up 9% to R22.6 billion. Cash from operating margins was 26.5%. Headline earnings per share were up 2% to R24.01 and cash flow from operations were up 6% to R27.5 billion, enabling an interim dividend of R5.70 per share and has a solid result which remains aligned with our progressive dividend policy. Let me now hand it over to Christine who will unpack our results in greater detail. Christine.
Kandimathie Christine Ramon: Thanks David and good morning and good afternoon ladies and gentlemen. It is my pleasure to present (inaudible) results for your today which is well within the guided earnings range previously announced to the market. Before moving to the detail of the results, I’d like to make a few introductory remarks. First, management’s continued focus on factors within our control has resulted in production volume target in our key business has been exceeded with Sasol Synfuels and ORYX GTL leading the way. Second, we have demonstrated our commitment to a progressive dividend policy or maintaining our dividend despite the significant impact of impairments and other once-off charges. And finally, we continue to demonstrate our resilient, amidst a still volatile and uncertain global economic environment through our healthy cash flow generation across our businesses, which underpins our strong balance sheet. Moving to slide 13; the first half of financial year 2013 was characterized by a predominantly favorable, but volatile macro environment. The global economy struggled at a slow pace with strong recovery event towards the end of 2012. China is close to a more market growth rate, while weaker demand in Europe and lower growth rate in emerging markets in the U.S. remained the concern. Crude oil prices remained strong at most of the period until viewed as loan average marginally lower as a comparable period while the rand dollar exchange rate led into change weaker. Just to contextualize the overall impact in Sasol, a weaker rand is positive for Group profitability (inaudible) negatively fixed on cost inflation. Our diesel and gas prices were also lower but changed towards the end of the 2012. Although lower cost pattern have impact on our Canadian operation in the short-term, the other main concepts of the financial GTL value proportion as well as our chemical operations in the Middle East which (inaudible). As expected, the chemicals market remain challenging and chemicals process continue to soften on the back of weaker demand in downstream markets, coupled with higher feedstock prices, the industry continued to experience margin squeeze. We remain sensitive to costs in the rand-dollar exchange rate, and we remind you of our sensitivity to each of these variables which we issued with a health warning in that energy market. We estimate that since this change in the annual equity trends of exchange rate with Olefins operating profit by approximately R860 million while in $1 change in the every general annual crude oil price we are expecting some operating profit by approximately R621 million. Moving to slide 14; overall, we delivered a solid operational performance with increased sales volumes and (inaudible) every trend on the exchange rates of the lower commodity prices. The Synfuel operating profit was significantly impacted by one-time charges of R3.6 billion, relating primarily to the partial impairments and translation losses of our investment scenario. Excluding the impact of one source, operating profit would have been enhanced by 9% and the operating margins would have been 4.3% higher at a record 26.5%. Our South African energy businesses delivered another stunning performance and expanded operating margins. ORYX GTL, our GTL technology showcased inevitable excellent operational performance in our international energy charter. Our chemical businesses continue to experience modest decrease due to challenging market condition. In addition, the partial impairments and translation losses relating to Arya, the full profit contribution from our chemical businesses. Overall, our international businesses including Mozambique chain contributed approximately 20% to Group operating profit and creating geographic balance to our portfolio with Europe, North America and the Middle East being the main contributors. Moving to slide 15, since this financial year 2013 was challenging from the South African cost nature, particularly in respect of labor, maintenance and electricity costs. South African PPI for the period averaged 5.1%, while CPI was 5.4%, coupled with the weak events on the exchange rate, this contributed to a challenging South African cost environment. The impact of inflation, the exchange rate effect, and the electricity cost increases, all uncontrollable factors contributed 9% of the total increase in cash fixed costs. Growth and study costs averaged a third of 2%, while plants maintenance and increased labor headcount costs combined added a further 5%. Our main growth drivers are renewable energy with labor consulting, 60% of certain cash fixed costs. Labor comp for the year, I expect it to increase ahead of PPI inflation with the right people meant to the criterion for financial year 2013, averaging at about 8% before adding the growth related to labor costs. Energy cost inflation in South Africa is likely to be in excess of 13%, although we are still rating for that industrial churn, following, this trend announced product type. I started to contain energy costs, seeing that successfully ramped up our electricity regeneration capacity from 50% of efficiency to two thirds of our own requirement in mid-December 2012, when the 140 megawatt Sasolburg gas engine was commissioned as I referred to earlier. Importantly, our investment in class maintenance has paid off, delivering plans to better team and improved volumes across our key businesses. We’ve remained concerned about our cost inflation in South Africa, and offered to stop procurements and maintenance cost reductions strategies. In addition, we are currently analyzing the profit behind cost increases across the Group, to provide the inter-stock opportunities, we’ll be confirmed to reduce and contain our cost base sustainably with a greater drive for FEED services across our businesses. Moving to slide 16, the SA energy cluster underpinned Group profits and cash emerging duration contributing almost 90% to Group profitability. Operating profits increased by 24% and not the SA energy businesses, expenses operating margin. Sasol mining operating profit increased by 30% to further margin reduction introduction volume. Profits were reported by higher sales profits and volumes suggesting Synfuels as well as to weaker ends. Sasol gas benefitted improved shale gases and excess in increase in sales volume due to increased Synfuels demand supporting a 59% increase in operating profits and an expansion of the operating margin by 6% to 15%. Synfuels contributed about three quarters of the SA energy clusters operating profit, maintaining an operating margin of 45% benefitting from the higher [EBIT] trend in oil prices. (Inaudible) Synfuels continue to deliver an exceptional production performance, increasing volumes, not change the things on the back of plant stability and run after the growth program. Synfuels cash unit cost increased by mid-13% after realizing 5% operational deficiencies; the increase was mainly due to higher feedstock cost, which are largely internal to the Group as well as increased maintenance and energy cost. Management is focusing on optimizing maintenance cost over the longer term. Oil suffered a 17% decline in operating profits and some margin contraction. Production volumes at Natref were lower following an extended planned shutdown and light startup of refinery, offsetting higher marketing and refining margin. Slide 17, the International Energy transfer is unparalleled engine and service to as it mentioned to be advance into the FEED size on the large-scale GTL project in the U.S. While FEED on our Uzbekistan GTL project is progressing well, but the fiscal projects financing being one of the significant condition to proceed with this project. ORYX which reflects for our GTL technology and (inaudible) continued strong performance we imported our GTL value proposition, ORYX third largest contributor to group profit behind Sasol Synfuels and Sasol Gas, contributing 9% to group operating profit. SPI recorded an operating loss for the period despite higher volumes in Mozambique and Canada. Depreciation had a modest impact on our Canadian operating profit, totalling R803 million for the period as well as the supply license in Mozambique. While both these assets remains under pressure in the short-term due to decreased North America natural gas process. It’s remained cash positive for the period after review. We will continue de-risking and developing the gas fields with three rigs and estimate of development cost of about CAD500 million for financial year 2013. It is pleasing to note the positive trend observed in drilling time and in drilling and completion costs which are now approaching our investment cap numbers. Slide 18; our chemical segment performance reflect margin pressure due to weak demand and continued margin contraction and related to earlier deposit in payment and translation losses related to Arya have eroded chemical profitability in this period. This is not the Sasol’s specific issue. There has been the revisions of profitability in the chemical industry in general, but (inaudible) restructuring announced. As profits continue to decline similar to major chemical companies, we have responded through consistent asset to reduce costs and improve operational efficiencies with the first business [statics]. We also remained focused on margin optimization activities and working capital management. Polymers was again the hardest hit business. The South African polymers business recorded an operating loss of R1.2 billion. This business is part for integrated value chain and experience continued margin squeeze related to feedstock price increases on to a selling price increases despite strong volume increases. We are convinced with the business turnaround program in our South African operation and that processes that this will begin yielding positive results. Most of EPU 5 and C3 stabilization projects which are expected to come in stream in calendar years 2013 and 2014 respectively would improve the feedstock availability for the local business. The international polymers business contribution amounted to R1.7 billion excluding the impact of the Arya impairment and translation losses. Arya delivered a solid performance achieving an average capacity utilization rate of 84%. We are pleased to announce that we’ve concluded a memorandum of understanding with an interested party regarding the disposal of Arya with the state [continue] at February, the investment will be classified as held-for-sale and further announcements will be made once more progress has been made. Sasol remains the largest contributor to the chemical cluster operating profits. The UV operations continue to be in effect some those ethane provinces. However, our European operations were both some profitable remained under pressure due to lower demand and high feedstock prices. To fund a 6% decline in operating profits. The overall business maintained a healthy operating margin of 8.5% well within our guided range of 17% of operating margins through the cycle. Slide 19, the funded operational performance continued healthy cash flow generation across our businesses. Our strong balance sheet positions us uniquely to fund the steady advancement of our attractive growth project and fund our progressive dividend policy that makes this whole volatile in an uncertain global economic environment with both having to dispose our assets. We maintained our capital investment estimates for 2013 after the R2 billion and increase the estimate for 2014 by R1 billion to R35 billion. Approximately 60% of these capital investments will be seem to South Africa over the next two years while a large portion of future capital investments will be allocated to growth projects in the national energy and chemicals businesses which using a larger high growth strategy. We remain committed to delivering on our now stated target of return to an advancing asset strategy and allocating capital in a wider deliver sustainable value to shareholders. In addition, through our capital excellence program, we have implemented them over more robust and streamlined capital governance policies. We have seen significant early gains especially in terms of avoiding cost and improving project benefit. Our balance sheet gearing remains low at 6.6%. We are comfortable that we will manage long term gearing within our targeted range taking into account the phrasing (inaudible) growth projects after basic dividend policy as well as capturing for full volatility. Our recently successful volume dominance in new response offering introduced our flexibility into our funding plant. We may have purchased national bonds markets on a regular basis to fund our growth projects in North America, in addition to project financing. And our plant in this event next month, we will provide further insights into our U.S. growth projects, funding and our progressive dividend policy. Slide 20, despite a 15% decline in earnings per share, we have maintained the interim divided in line with the prior year (inaudible). Our dividend yield of approximately 4.5% and total shareholder return of 29% have calculated in rand terms over the past five years, positioned Sasol competitively with our peer groups reinforcing our commitment to consistently return sustainable value to our shareholders. Slide 21, profit outlook. We expect the global environment and the South African economy to maintain a modest recovery into the financial year, although the resolution of the European debt crisis and concerns regarding the U.S. debt ceiling remain uncertain. We therefore remain cautious on the volatile and uncertain macro economic environment. This impacts our assumptions in the set of stable oil prices, which have been ranged on in recent months. Turning to our product prices, stronger refining margins and weaker rand dollar exchange rates, (inaudible) cost, we continue to focus on factors within our control being volume growth, market improvement, and cost reduction. We expect our overall solid production performance for financial year 2013. Synfuels, remains unchanged delivered between 7.2 million to 7.4 million tones of product, which is unchanged from previous guidance. Internationally, we expect our ORYX GTL to maintain full-year utilization rate of between 80% and 90% due to a planned shutdown in the second part with Arya between 75% and 80% due to feedstock constraints and in Canada, we expect volumes to remain flat, starting to the content we have reduced our turnover rates. Even the subsequent cost environment remains challenging, we expect normalized cash fixed costs to increase the South African PPI inflation as we incur costs to improve profitability and due to the effects of the REIT events and higher energy costs on our South African businesses. As detailed in summary earlier, cost optimization and reduction is a key factor area for management. We expect more news on this in future. In the piece of budget speech, the Finance Minister proposed ZAR 510 to ZAR 520 per ton with effect of January 1, 2015, increasing by 10% impact in four or five years. CTL and GTL will receive a 60% basic exemption with additional allowances for emissions intensive and price exposed industry. We expect an updated policy placement at the end of March 2013 and continuing to indulge with government in this regard. Until we have transferred the cavities, we are unable to provide guidance on the impact on Group profit. In our chemical businesses, we expect per share on our South African Polymers operating margins to continue, but we are positive that the turnaround program will begin to yield positive results. Last year that our management touched on earlier, the Arya divestiture and Iranian currency devaluation is largely to impede the fee value of investment for that. In conclusion, management continued focus of sectors within our control has resulted in a solid operational performance in the challenging environment that revenue improved first half profitability excluding the impact of significant one-off charges. Our strong balance sheet and healthy cash flows positions Sasol well to (inaudible) growth projects and deliver attractive returns to our shareholders amidst the still volatile and uncertain global economic environment. And we are comfortable that we will manage long-term gearing within our targeted range of 20% to 40%. Taking into account the sizing of (inaudible) these growth projects, our collective dividend policy as well as searching for a volatility allowing us to continue to consistently feature a sustainable value to our shareholders. On this note, I’d like to hand back to David.
David Edward Constable: Thank you, Christine. I’ve just got about five slides to cross off here. So moving to slide 23, to reach our overarching goal of delivering shareholder value sustainably, it’s important that we have a focused and advanced project pipeline. As you can see here, many of our projects have now moved into their FEED and EPC phases. I’ll not go through the entire list. I’d like to provide you with an update on two of the projects, first, our FT Wax Expansion Project in Sasolburg. The commissioning of the new Slurry Bed Reactor, which is critically important for the capacity expansion is expected to take place at the end of this calendar year. Although Phase 1 of the project is progressing, the original budget of ZAR8.4 billion is under pressure. We’re assessing the capital cost of the entire project as well as phases 1 and 2 as well as other key parameters, and we’ll provide you with a further update later this year. Next, as you can see from an upstream activities perspective, we are progressing on a number of fronts in Mozambique, Canada, Botswana, South Africa and Australia. I would like to highlight in particular, one key development in Mozambique. The extended well test on the Inhassoro I-9 ZED well commenced in March 2012 as part of the Production Sharing Area appraisal program. The aim of the extended well test was to establish sustainable flow rates from the oil rim in the Inhassoro light oil and gas field. The EWT has flowed successfully, and has cumulatively produced over 200,000 barrels of oil at the end of January. We are now entering a two year study period leading to a final investment decision on this exciting oil field opportunity. Slide 24; as I mentioned earlier, at the end of last year in the U.S., we announced that we are progressing our world-scale ethane cracker and derivatives plant and a gas-to-liquids and integrated chemicals facility to their FEED phases. Over and above the project funding requirements, which Christine and her team are progressing, our investment decisions are guided by a rigorous business development and implementation gated process. To provide you with greater insight as to what informs our investment decisions at a high level we thought that it would be useful to review four of the key questions we ask ourselves in addition to ensuring (inaudible). First of all, do we have access to a low-cost feedstock that provides us with a competitive advantage? Second, do we have a technology or manufacturing platform that is better than our competitors? Here, we look not only at the technology itself, but also at the scale of the plant in question and whether we have the requisite operating know-how. Third, we assess whether we have a product or market position that allows us to be competitive. Finally, we evaluate whether we have the required project execution capability to deliver the project in question. On to slide 25; if we consider our proposed investments in the United States, we are very encouraged by the critically important answers to the questions we posed. The first question: do we have a leading low-cost feedstock position, the following key factors are relevant; first, the U.S. has access to low-cost ethane and natural gas, which places us in an extremely favorable position when we look at both our Lake Charles Chemicals and GTL projects. Second, the rapid growth in gas supply and overall gas market dynamics support our U.S. growth aspirations; and third, key, there is a strong arbitrage between diesel and natural gas prices, which play directly into our value proposition. Turning to our second key question the following is true; number one, we have an existing asset base in Lake Charles, which today is becoming a leading chemical hub with a competitive capital cost environment; two; we have an internationally recognized leading and proven gas-to-liquids technology; and three, as regards our cracker project, we have access to off the shelf cracker designs. Next, turning to the fifth question: do we have a product or market position that provides a competitive advantage? First, we have an existing marketing position in the ethylene value chain based on our current business, two looking at diesel and naphtha in particular, we are able to deliver a superior product offering, and number three; we have a local and international market for our high quality products. In addition, being based on the U.S. Gulf Coast, we also have easy access to offshore customers. We’ll take a look at the final question: do we have the required project execution capability? In response to this, first of all, we have adopted a phased execution approach with minimal project overlap between our ethane cracker and U.S. GTL projects. Secondly, we are putting a U.S.-based integrated project management team in place, comprising both Sasol technical specialists and seasoned engineering and construction experts, with proven project control systems and local knowledge. Thirdly, we will be appointing world-class contractors with strong track records of project delivery in the U.S. Gulf Coast. And finally, we have developed informed and measured contracting strategies to mitigate both cost and schedule overrun risks. Looking at the answers to the questions we considered, the management team and I are confident that, based on the information we have today and subject to the outcomes of the FEED work, our strategic projects in the U.S. will deliver sustainable results for the benefit of both Sasol and our shareholders. Slide 26, several commentators have asked how the rising production of crude oil in North America could impact our US growth strategies. For us, the key consideration is that we do not sell crude oil, but rather diesel and other products which can be sold directly into energy and chemical markets or as blending stock to the downstream refining and manufacturing sectors. For this reason, with respect to GTL economics specifically, our pricing is not impacted by local US oil prices, but rather the price of diesel traded globally. The slide shown here goes to the heart of what we believe is a robust value proposition, as it depicts average diesel prices in 2012 on a dollar per barrel basis worldwide. Despite disparities between West Texas Intermediate and Brent oil prices, the price of diesel remains linked to global diesel prices. We forecast that this will continue to be the case in the long-term. And as you know, our oil to gas ratio for viable economics is 16 times relative to oil prices depicted on crude plus diesel margin obviously goes to saying non-invested margin pricing it as a such should be incorporated. To my final slide; in closing, to build on our successes, we are focusing on optimizing our solid foundation businesses worldwide. In Southern Africa, specifically, we have embarked on an extensive nurture and grow strategy to enhance our existing asset base. Looking at new growth opportunities, in North America, in particular, we are well-positioned to capitalize on low feedstock prices to meet America’s demand for high quality fuels and chemicals by growth strategy and mix of compelling ones. We have a focused and strong project pipeline with several strategic projects well down the track. Finally, all that we do serves to create value sustainably. Here, our solid balance sheet underpins our ability to fund our sustenance and growth programs. Our highly cash generative business model allows us to pay progressive dividends and, over the long-term, deliver leading shareholder value. This is a truly significant period in Sasol’s history and decisions we take today, by setting us to success in the years ahead. Before I hand back to the operator, I would like to personally invite you to join the Sasol team and myself at one of our upcoming Investors Day, days are either April 9, in New York or later that same month on the 19 in Capetown. Also in New York, on April 9, we will close the stock exchange to commemorate the 10-year anniversary of our NYSE listing. I’ll now turn it back to the operator for any questions. Christine?
Operator: (Operator Instructions) Our first question comes from the line of Jarrett Geldenhuys with Deutsche Bank. Please go ahead with your question.
Jarrett Geldenhuys – Deutsche Bank: Hi, everybody. Good afternoon and thanks very much for the opportunity. I have few questions, first one relates to the dividend policy. As I understand that the market is based on EPS, is there any substantial agreement, shift us to a cash type model of PF number or what you’ll force around the dividend policy going forward to that? And second question relates to potentially one for Andre and just relates to the South African polymers margins, just before last being equal. Can you give us some kind of margin upside, which we could expect from this EPU5 and the C3 stabilization? And then just the last question from my side is just on the exploration; on slide 23, you’ve given us quite a nice breakdown of all the potential drill sites for the next couple of years. Can you just breakdown the costs as well as the timing specifically in Mozambique and Botswana? Thank you very much.
David Edward Constable: Thanks Jarrett. Hopefully, every one can hear it, sounds like we’ve got some static on the line, but we’ll sort it through here if Christine could take the dividend question first please.
Kandimathie Christine Ramon: Okay. Hello Jarrett. I think firstly we are committed to our progressive dividend policy and delivering superior returns to our shareholders. I think more importantly our dividend has always been based on EPC. They’re not FEED based going forward that we will maintain that. I think with a progressive dividend policy are demonstrates that we will at least maintain the dividend for the year. And lastly it actually done at the incremental certainly a phases going forward. I think declaring the dividend based on EPC certainly does provide shareholders with a certain amount of predictability into well sustainable earning stable as going forward, but we do not predict that we will actually change it.
Jarrett Geldenhuys – Deutsche Bank: Thanks Christine. On to EPU5, which is scheduled to complete in this year, C3 stabilization, I guess for completion in calendar year 2014, delivering benefits? Andre?
Andre Marinus De Ruyter: Jarrett, yes; just a quick reminder, what we’re trying to do with EPU5 is to expect additional quantities of ethylene, so that we can run probably two and three in Sasolburg at full capacity. We are also investigating the opportunity with (inaudible) to optimize some of our smaller and less efficient plant (inaudible) longer way and just part of a turnaround that Christine referred to earlier. So I can’t give you a certain number at this point to your model unfortunately versus what I’ll discuss on the turnaround that is progress. On C3 stabilization, again this is to introduce the neighborhood of stability and the C3 value chain it is in treatment to reduce (inaudible) losses at this point in time was quite considerable and to cut that gallon by building storage capacity for C3 feedstock into the our polypropylene value chain. We anticipate that towards the crude volatile of polyethylene as well as polypropylene assets that those assets will significantly in (inaudible).
Jarrett Geldenhuys – Deutsche Bank: Thanks Andre, Next question on drilling in Mozambique and Botswana. I know that in this oil, it would be oil where you’re starting a field development plan over the next couple of years, so we’re excited about that and maybe you could talk a little bit about Sofala and Block A and Botswana and the business?
Giullean Johann Strauss: Jarrett, in Sofala though, we have 24 months to provide the patent plan obviously, given the encouraging results we had with (inaudible) we would like to accelerate that and viewing that forward as soon as possible. We are currently busy building the (inaudible) and we would like to complete this during the first half of this year. Block A, we’re doing seismic and we will also complete the seismic this year, also we have to get decision if we will do exploration wells. Safala, we have done the seismic into a final, but exploration well only up during the calendar year 2014. And Australia, we have found that (inaudible) and hopefully we will drill exploration wells during the second half of this year. Also South Africa, offshore Botswana (inaudible) evaluation there, so no decision yet on when we will do seismic.
Jarrett Geldenhuys – Deutsche Bank: Thanks, Lean.
Giullean Johann Strauss: It’s okay.
David Edward Constable: Next question?
Operator: Thank you. Our next question comes from (inaudible). Please go ahead with your question.
Unidentified Analyst: Hi, can you hear me? I know that (inaudible). Okay, on US GTL, can you comment please on what you see as some of the key aspects of potential execution risk and then particular I am interest in any technology risk in terms of what you’re adjusting or intent to adopt U.S. GTL versus existing GTL projects. And secondly, could you give us any guidance on what tax incentives you’re likely to receive on that projects, in what areas and what magnitude? And then just on cost inflation in South Africa, clearly it’s a difficult target in terms of your PPI targets. And what is a more sustainable target or achievable target in your view in the longer-term? Thank you.
David Edward Constable: Turning to U.S. GTL and key aspects of execution risks, I am going to ask Andre and Leon to try and mint here certainly execution risks in the Gulf Coast, we would have to look at first of all, finding world class engineering construction contracts as to execute the work and at the same time have a management came [Author ID1: at Mon Mar 11 22:28:00 2013 ]in place that can control both contractors on the Gulf Coast and here as I said earlier we’re putting on integrated project management team in place to do just not at least. We’ve looked at other Gulf Coast projects over the past several yeas and have learned lessons from those projects and also on how to set up a contracting strategies to ensure that we have a good cost schedule certainty on the programming as one example trying with contracting strategies looking at going well to the front end engineering process in an open book estimating approach and then converting to lump sum contracts wherever possible and sharing lot of the risk with the contractors obviously, on the technology risk, Andre or Lean?
Giullean Johann Strauss: I can just comment on technology risk. We’re getting very much likely to protect the ORYX model; it is more of the same to ours and the same (inaudible) unit. The GTL, this will be biggest, at the same GTX with in terms of size, we’re suggesting the internal to little bit that we’re changing the velocity, we’re changing the infrastructure. But we’re very comfortable with the phase of our Sasolburg that we can scale up the performance of the GTX reactors from the rest. We’re very much trying to take the cost down for the ORYX GTL.
David Edward Constable: Anything else for Matt before we go to taxes, Andre, do you want to make any other comments on risks, the cracker of course is off the shelf technology?
Andre Marinus De Ruyter: I think I’ll get straight to knowledge that there is (inaudible) I think what we’re trying to do with regard to that is to modularize as much as possible of the units that we intend to build on site. So that would reduce the congestions of the size, that will also allow us to make better use of workouts in the surrounding area, possibly even importing sub-units and inflecting them in parts quite next to our sites. But that allows us to make use of a low cost factory procurement approach.
Giullean Johann Strauss: And just like that, you also get much better productivity in a controlled environment and in their shop as well, so it has a lot of benefits.
Andre Marinus De Ruyter: Then I think David referred to the ITNT, I think what’s very important here is that we are going to reduce – conflicts with frugal systems and experience in the Gulf areas. So that will drive significant growth producing this product. And we also negotiated a training facility to the Tuna Recalled $20 million with respect to Louisiana is going to hold for rest to use that training facility to (inaudible) and because never been a globe just find some work in the commissioning and running on the facility once it’s completed, but we will also use that facility to right up labor who will participate in the construction of these mega projects. Then lastly, I think one of the key lessons that international has learned quiet frankly over the years is that, we has to do more engineering before we start construction and this is one of the reasons why we opted for a phased approach on the GTL facilities and we think this will place significant role again in mitigating the risks. And when combined the (inaudible), the incentives in Louisiana, I think that these have supplied a significant growth in demonstrating all decisions, I think it’s fair to say that with up decent incentives, we are still easily exceeding our little (inaudible) prerequisites, but they have played a significant role in enhancing project returns; these include industrial investment allowances, the include federal tax rebates. With (inaudible), we have not at this point in time, disclosed the full magnitude of that as our commercial sensitively surrounding that.
Unidentified Analyst: Okay. thanks, Andre. With reference to the cost inflation question and as we all know labor rates, salaries increased well on the PPI, Christine can you talk to that question?
Kandimathie Christine Ramon: Yeah. I think David, would like to that what is unachievable progress in the longer-term. I think that’s the defeat is I guess you would like to these inflation in the longer term, and I think factors that, the strategies that we actually are deploying at this point is to improving the strategic generation in the group and looking as procurements in maintenance strategy, is what we achieve focusing on at this point in time, and in addition to that regarding more services across the group. And I can give us some thoughts more to drive as behind these costs increases, we believe that the all some quick wins to that (inaudible) costs as well, but we’ll be able to put us as the target to you in the nearer term. At this point to the time, and given that we often some issues that we actually still hedging to deal with in the financial year, we still expecting cost inflation to be index PPI.
Unidentified Analyst: Thanks Christine, thank you Giullean.
Kandimathie Christine Ramon: Thank you.
Giullean Johann Strauss: Thanks a lot.
Unidentified Company Representative: Thank you.
Operator: Thank you. Our next question comes from the line [Samidha Gehlot] from Macquarie. Please go ahead with your question.
Unidentified Analyst: Thank you very much. Good afternoon. Got a couple of questions firstly, looks similar like your salaries and wage bonus gone up 5% to 15%, which is substantially of that inflation and also about the rate achieve negotiated with unions last year, I guess could you explain that – and could you maybe talk around issues that you have in retaining skilled people, that’s the first one. Number of years now you have been talking about extraordinary maintenance at the Synfuel sort in three or four years, and when does this actually come to an end, it seems to happen every year that there is extraordinary maintenance and maintenance is higher than the fourth quarter and then what is normal for maintenance expenditures, that Synfuels. And then lastly it’s not two years running that your fuel volumes that you’re selling to South Africa declined, can you maybe talk around the increased competition form volumes in the new pipeline and your market share and what is happening there on that front?
David Edward Constable: Okay, we got salary and wages up. We’ve got a maintenance question in Synfuels and fuel volumes, what's happening with NPP. So I think I'll turn it to Christine about the salary and wages about the negotiations.
Kandimathie Christine Ramon: [Gehlot] I think you need to have an offline, on how you calculate the 15%, but I think – my proceeds wage inflation has been 6% to 8%, and be putting lets see that the (inaudible) differences coming in that we've had to increase the heat (inaudible) and vessel technology, settle for tribune international in particular and certain increases in this is as well in cubic feet that is gearing up for growth in supporting our funds project and this is key to our success going forward.
David Edward Constable: Okay. Thanks Christine. Also make an interest Synfuels and what we can expect there?
Bernard Ekhard Klingenberg: Thanks, this is Bernard. This in terms of the maintenance costs at Synfuels. We’ve said before that is really (inaudible) registration program in terms of increased maintenance costs and a strategic early on, we’re moving just in the next few years of optimizing again on that maintenance cost. So there was a little bit of (inaudible) more money on maintenance and we are seeing that continuing in greater stability in terms of volumes. But we do recognize that we now need to move into an optimization in timeframe. On that it’s also given them a little bit last year, by additional equipment a new plants of the Synfuels reform and additional plants that we have obviously do have a slight ethane on the agro maintenance cost. That’s my answer.
Unidentified Analyst: (Inaudible)
David Edward Constable: We anticipate that the maintenance cost will stabilize and we will look to reducing optimizing maintenance cost a little bit.
Kandimathie Christine Ramon: So we are fixing the maintenance in the past year, fourth financial year, full year with the past. We regarded running between ZAR3 to ZAR3.5, and so we see that sort of is normalized maintenance going forward and (inaudible) of the equipment to price value in Synfuels.
Unidentified Company Representative: Thanks Dave, thanks Christine. On to fuel volumes and the concern around the lower demand combined with the commissioning of the NMPP may resulted in increased competition in the ethylene market, our estimation is that petrol demand was marginally down less than 1% over the last two wells, in fact Eagle wells was positive and enter production from Sasol and our partner natural supply of 50% of the demand and the NMPP really bottleneck the cost in land logistics, but doesn’t make, don’t make Sasol products were making uncompetitive.
Unidentified Analyst: Thanks Eric.
Operator: Thank you. Our next question comes from Nishal Ramloutan from UBS. Please go ahead with our question.
Nishal Ramloutan – UBS South Africa Ltd.: Hi, David. Just a couple of things from my side, one thing just on Synfuels production, annualized H1 production of 7.4 million tons, it looks (inaudible) with 2004. The other thing is the supply constant that did have a check down in H1. And also what’s the impact of the key capacity constraint that has already achieved this 7.4 million tons annualized. Then just for debt in (inaudible) field in Mozambique, what’s the potential of this field in terms of production, so looking at that, actually getting out of that? And in terms of cost savings programs any kind of color in terms of what you’re targeting for cost savings out in that program in terms of turning that business around?
David Edward Constable: So let me – the first is on Synfuels production. In guidance, fully reversed and what we can see there for the production guidance. I’ll give that to Bernard to start with.
Bernard Ekhard Klingenberg: Thanks, David. I have said before, you’ve answered the question with your commentary. In the first part of the year, we had the shut down which impacted the overall production at Synfuels and now we are ready with the first implementation of the GTL and the consequence, we’ve kept the guidance similar for the two halves of the year because the GTL certainly does have an impact. It will depend eventually on exactly how long it takes us to get those generators up in running. But that’s why we’ve kept the guidance decision same for the two parts of the year.
David Edward Constable: Thanks, Bernard. I think we’ll go to the question on the in the end of – I believe that was your question.
Bernard Ekhard Klingenberg: We’re calling around – to proceed to one well producing between 1000 to 1500 channels per day. We believe that if and all the quick question is how many of these wells can we keep on running collectively (inaudible) that’s what we have to (inaudible) in the world that we can do the development. We’re looking at least to build put two wells into our operation simultaneously. But we like to know in the time to come probably before the end of the year, how we can expect from the fields (inaudible) production.
David Edward Constable: Thanks (inaudible), Nishal, could you just ask the polymers question one more time, so we could get a question again.
Nishal Ramloutan – UBS South Africa Ltd.: Okay. Specification of what sort of cost savings (inaudible) polymers has tender of the strategy? And maybe can you give some just bit of color in terms of what exactly (inaudible)?
Andre Marinus De Ruyter: Costs savings out of the business turnaround, okay, and when guidance there, we recently comment on it first of all.
Nishal Ramloutan – UBS South Africa Ltd.: All right.
Andre Marinus De Ruyter: And we’ll start with that.
David Edward Constable: Okay.
Andre Marinus De Ruyter: I think it’s a bit premature to go for a number because I know that in six months time you will ask me exactly what that number was. So I’ll take the first on that one. That we are certainly targeting double-digit decreases in cash fixed costs in our chemicals businesses. We believe that’s possible through a restructuring of our management as well as our operating structure. We also believe that with changes to our management information systems that we can enable significant savings to be bought about however we will of course have to spend some money in order to embark this value, and this is part of the coking process that’s currently going on as we kick off the turnaround process, not only for polymers but also for the rest of the South African chemical businesses.
David Edward Constable: Okay, thanks Andre. Thanks Nishal. We’ll move on to next question.
Operator: Thank you. Our next question comes from Alex Comer, from JPMorgan. Please go ahead with your question.
Alex R. Comer – JPMorgan Securities Plc: Yes I’ve got a few questions if I may. Firstly on polymers you talked – the pressures in the business from rising feedstock cost and weak pricing. If I look at the numbers it looks to me like your average polymer selling price was flat a basic fuel price is down, so what exactly is going on there in terms of why it's possibly falling so much? First question. And then (inaudible) it looks to me like lot of oil prices continue to fall, I just wondered if you comment on what happened to European profits since the end of the quarter. On cost, I’m slightly surprised you comment on your analyzing your caustic cost drivers to tend for opportunities, is 60% of our caustic costs are labor, is it not fairly obvious where the opportunity lies particularly when you look at the level of employment for the 5.5 million tons that you are going to produce in the U.S. given well obviously we have in South Africa. And then finally regarding your CapEx targets in the U.S. and what you can do to control spending that, I wonder whether you considered linking the ultimate CapEx spend to senior management remuneration and bonuses. Those are my questions.
Unidentified Company Representative: Okay thanks Alex for all those questions. We'll start with polymers, then the pressured thing and Andre could you walk us through some of that?
Andre Marinus De Ruyter: Okay. Hi, Alex this is Andre. I am no quite sure where you get your numbers from the numbers that we use in terms of polymers and brands puts on if you refer to page 13 of the presentation that we shared earlier, you can see there that oil prices did go up in rand turns by about 8%. However few products, which forms the basis of the few shareholder value, that went down by 13%. So in the modern squeeze that we referred to might be again a different numbers than when we meet, we can undertaking that…
Alex R. Comer – JPMorgan Securities Plc: Yeah. I’m just taking new reported numbers provided by the (inaudible) what does it sound like.
Unidentified Company Representative: Okay, all right, that’s. Right then, O&S lauric oil and every factor continue on to lauric oil. The drop in lauric oil prices absolutely right, that is continuing and we are now sitting, I think under €800 a ton for that, which is very low compared to where we were a couple of years ago. Clearly, that adds a decreasing influence on the pricing of synthetic alcohols that we produced in Europe. however, as you know, we not only produce other chemical alcohols in Europe in our (inaudible) facility between produce similar alcohols, which we derived from ethylene. This includes a fraction or portion of (inaudible) alcohols but it also includes so-called wing products, which is your both lower and higher C number alcohols and these have been unaffected, obviously because, they are on symmetrical with the lauric oil alcohols. So yes, there has been an impact on the O&S European business, as a result, not only of lauric oil prices, but also as a result of continuing price increases of ethylene in particular, in Europe, with vendors being more than offset by the very, very solid performance that we’ve seen from our ethane cracker in Lake Charles as well as downstream derivatives and particularly synthetic alcohols.
Unidentified Company Representative: Thanks Andre. On to the cash fixed cost we have 60% of our cash fixed costs that are labor driven and levels and finally and let say will be are sitting and mostly higher than what we will see in the U.S. We are focused on exactly not only supply chain and procurement reduction and maintenance reduction, well our 2-C cost reduction as Christine as talked about, we have real drive in the company to look at labor across all the businesses inflections. We have an extra (inaudible) going right now, we are doing a cost optimization diagnostic, which that GEC is sponsoring, and we're looking at each business and each function and looking at span of control, levels of managements and also looking out into the businesses into the operations as well. And so more to come on that, but we think little sound on carrying when it comes to some labor costs in the company.
Unidentified Company Representative: Christine?
Kandimathie Christine Ramon: I think that the last question that [Eric] said was CapEx stronger (inaudible) and blinking and seen the management similarly in this extreme environments.
Alex R. Comer – JPMorgan Securities Plc: (Inaudible) fixed cost?
Kandimathie Christine Ramon: No, no. I think you’ve covered it, but I think at this point in time I think it's really the time that we spend and also the sizing of that, the extra which we should be taking and I think that one to be we will actually come out with our strategy.
Alex R. Comer – JPMorgan Securities Plc: Okay.
Unidentified Company Representative: Actually I want to talk – I’ll talk a little bit about – slightly CapEx, I think that short-term and long-term incentives there are structured effectively and I think going forward, we certainly will have these projects will certainly reflect in management’s score card, annual score cards and will feature permanently in how people are evaluated, some management as evaluation, borrowing the GEC levels, I don’t see the Managing Directors level, at the Functional levels and into Sasol Technology were project execution was support. So your points are well taken and we expected those types of parameters will feature in score cards going forward on the capital work.
Alex R. Comer – JPMorgan Securities Plc: Thanks.
Unidentified Company Representative: Thanks.
Operator: Thank you. Our next question comes from (inaudible). Please go ahead with your question.
Unidentified Analyst: Thank you. Good afternoon everyone. Just two questions, firstly given the volatility or raising volatility that we’ve seen in crude prices in recent weeks plus that with clear ambition in terms of CapEx spend over the three years. Can you give any update on how you have been hedging crude and since the currency as well I guess if you consider that at this stage? Are you looking at redoing the all crude hedging policy? And then the second question, I have is just in terms of your Synfuels production and very strong 10% improvement in the production over there. But just to get an idea of that breakdown, were any further gains in production come straightly from your chemical, feedstock constraint or could we see an improvement in refine product volumes as well through Synfuels? And within that contribution between – all the spread between growth can you give an idea of impact on profit – profitability between refined products and chemicals feedstock in Synfuels expense?
Unidentified Analyst: (Inaudible)
Unidentified Company Representative: The volatile oil price and hedging policy, certainly hedging is risk mitigation, a tool that we can use as required. We are deleveraged on the balance sheet. So it doesn’t feature too heavily right now, but Christine continues to monitor the spread and the options that are available to us on oil price hedging and that’s where we are right now, we don’t foresee anything in the near future on hedging again because of our strong balance sheet, but I think that’s where we are right now. We’ll continue to monitor to see if there’s opportunity. We have done it in the past and have been successful and sometimes not so successful. So it’s something you don’t go into lightly on hedging.
Unidentified Analyst: Synfuels production?
Unidentified Company Representative: In the splits as we increased our production out there and the split between refined products and chemicals, (inaudible) do you want to…
Unidentified Company Representative: Thanks, David. I think as the volume for Synfuels increases, the ratio of chemicals to fuels stands more as the same, but we’re planning on optimization. We do look to optimize when it’s possible in terms of the values of the different product streams. And then the other comments Mike is that most of our pricing, if you look into the value so that will (inaudible) little bit to the optimization.
Unidentified Analyst: Great, thanks.
Unidentified Company Representative: Thanks. We’re actually over time. So we’ll take one more question from, it looks like Nic. We’ll take one more question from Nic.
Operator: Thanks. Our last question comes from Nic Dinham from Cadiz. Please go ahead.
Nic Dinham – Cadiz Securities: Thanks. It sounds like, I don’t know if you can hear me, but it sounds like your both customers showed price on it, which is the exact data – hello?
Kandimathie Christine Ramon: (Inaudible) please go ahead.
Nic Dinham – Cadiz Securities: Okay, a description on GTLs here, a couple of questions on GTLs. You classified GTL into proven technology, yes the last three years, you’ve been unable to predict the utilization rate at RX within investment (inaudible) and I don’t believe that is much of the definition of a proven technology, that’s first point. The second question is for August, what’s happening there. And will you be going to tax plan situation at RX, and what do you think the tax rates of them to be, being a very secretive question issued, and I wanted to be launched this afternoon. I have two more questions after that.
Unidentified Company Representative: Now we got time for one question, but we’ll try to answer all two of them. GTL proven technology Lean, certainly, any comments on that?
Giullean Johann Strauss: Yeah. I think the technologies looking very well for us, our conversion rates from gas to final products as it spurt our plan. Yes, you’re right. I think our unit availability of the plant was not so good in the past, demonstrated running at 93% availability in the last six months, and actually, you’re trying to improve on that. So we’re very satisfied with what Arya performs, as always is concerned, RFC ready to emission by midyear and we’ve got a beneficial operation by the end of this calendar year, as far as our tax synergy is concerned unfortunately that that’s commercial confidential information that make that public in the (inaudible) and I think both of that to stay, I don’t know to foresee, what these can do up and what I can fairly see a story.
Kandimathie Christine Ramon: Yeah. I would say it’s fair to say that it’s 10 year tax holiday that we factored in for 2017 as the year that we would have to stop by that.
David Edward Constable: Great, thanks Nick for your questions and thank you everyone for joining us in the call today. But we all look forward to seeing you at the Investor Strategy Days in April either in New York or down in Cape Town. Thanks again.